Operator: Welcome to the GoHealth Q1 2022 Earnings Conference Call. My name is Darryl, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded.  I will now turn the call over to Brian Farley. Brian, you may begin.
Brian Farley: Thank you, and good afternoon, everyone. Thanks for joining GoHealth's First Quarter 2022 Earnings Call. Joining me today are Clint Jones, Co-Founder and Chief Executive Officer; and Travis Matthiesen, Interim Chief Financial Officer. This afternoon's conference call contains forward-looking statements based on our current expectations. Numerous risks and uncertainties may cause actual results to differ materially from those anticipated or projected in these statements. Many of the factors that will determine future results are beyond the company's ability to control or predict. You should not place undue reliance on any forward-looking statements, and the company undertakes no obligation to update any of these statements whether due to new information, future events or otherwise. After the market closed today, we issued a press release containing our results for the first quarter of 2022. We have posted the release on the GoHealth website under the Investor Relations tab. We have also posted on our website the presentation materials that Clint and Travis will walk through momentarily. In the press release, we have listed a number of risk factors that you in conjunction with our forward-looking statements. Other risk factors are described in our Form 10-K and Form 10-Q reports filed with the Securities and Exchange Commission. During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measures, and the reconciliations are set forth in the press release and investor presentation. And with that, I'd like to turn the call over to Clint.
Clinton Jones: Thank you, Brian, and thank you all for joining us to review our first quarter 2022 results. As Brian mentioned, we have posted a slide deck to our Investor Relations website that we will walk through before opening up to Q&A. Starting on Slide 4. We had a strong first quarter with revenues of $271 million and adjusted EBITDA of $11 million, which does not include the impact of our cost actions taken to date. We grew submission volume by 62% year-over-year, leveraging the investments we made in our agent force last year and continued technology enhancements. Our strategy this year is deliberately slow down and focus on operational efficiencies that will position the company for sustainable, long-term success. We continue to focus on serving the Medicare market with the best consumer experience, while delivering high-quality member growth for our carrier partners. As more and more plan options are available for consumers that have evolving needs, our end-to-end platform aims to be the industry leader in choice, transparency and customer experience. By reducing our growth rates in 2022 relative to previous years, we can maintain attractive margins and accelerate our path to positive operating cash flow, while continuing to be a reliable partner to our members and carriers. During the first quarter, we have seen this strategy begin to play out. We have been strategic with our advertising, maximizing the return on each dollar spent. Leveraging our technology, our team has worked hard to achieve reductions to our marketing and advertising spend for submission, resulting in a 10% decline year-over-year in the last month of the quarter. We have also been hard at work improving our quality of enrollments, and we observed a decline in CTMs of 20% compared to last year in a very promising agent retention rate. We are optimistic about these trends that will impact several of our operational initiatives on our next slide. Through the first quarter, we remain on track to deliver on our annual guidance, and in particular, cash flow breakeven by the first half of 2023 as we generated $54 million in cash flow from operations in the first quarter, which was up 75% from last year, reflecting significant growth in our membership volumes that continues to generate cash commissions. To ensure we achieve our target of positive operating cash flow by the first half of 2023 on a trailing 12-month basis, we have taken certain cost actions and continue to focus on cost and cash efficiencies. As we turn to Slide 5, I'd like to provide an update on our progress on the key priorities we outlined on our last earnings call. So far in the year, we are seeing success across each of these priorities. On the marketing front, we are leveraging our technology to be more efficient, targeting consumers and match them with specialized agents. We've also been more selective with our marketing spend to maximize efficiency while focusing on quality. Together, these initiatives have helped us control marketing costs per submission despite strong Medicare enrollment growth. We entered 2022 with several initiatives to improve agent retention and maximize the return on the large investments we made in 2021 in agent hiring and development. These investments result in a large, tenured and more efficient agent workforce that drove strong submission growth in the first quarter. We are pleased to see agent attrition fall well below the levels we observed last year. Our training and development initiatives have also boosted agent productivity and quality scores. These trends reduced our hiring needs in 2022, which we expect to have a positive impact enrollment quality and growth, operational efficiency, cash flow and margins. Our technology enhancements continue to drive more efficient operations across our integrated marketplace, helping secure lower marketing costs per submission through targeted marketing strategies and call routing tools to ensure every call is answered quickly by the right specialized agent. Our guided selling platform aims to improve customer retention rates and lower denial rates, leveraging data on millions of enrollments and member retention patterns. Lastly, our slower growth and narrowed focus this year has enabled our team and resources to focus on quality and results, which we are seeing come across in our operating metrics and financials. We continue to invest in our Encompass Platform to expand customer and carrier customized offerings. Members that we engage through our Encompass Platform see higher satisfaction, retention and profitability. Over the course of this year, we will unpack more on our Encompass strategy and results as we believe this will be an important growth driver and improve the cash flow profile of our business, while helping drive quality member growth for our carrier partners. Lastly, on Slide 6, we have taken steps to improve our profitability and cash flow by becoming more efficient across our business. We expect these changes to result in cost savings of $200 million in 2022 as we discussed last quarter, most of which we will see in the back half of the year. We are already executing on several cost actions that will fully materialize later in the year. Before I hand it off to Travis, I want to highlight our first quarter financial results. In Q1, we had revenues of $271 million, up 33% since last year, and adjusted EBITDA of $11 million. In addition, we saw a 75% increase in cash flow from operations compared to the prior year period. With these results, we are reaffirming our full year guidance range with revenues between $900 million and $1.1 billion, and adjusted EBITDA between $110 million and $150 million, all with the goal of achieving positive operating cash flow on a trailing 12-month basis by the first half of 2023. I'd now like to turn it over to Travis to discuss our financials in detail. Travis?
Travis Matthiesen: Thanks, Clint. Slide 8 looks at our top line results over the first 3 months of the year, which were in line with our expectations. The continued growth in Medicare, powered by our internal channel, continued in the first quarter. Our Internal Medicare team of agents delivered commission revenue growth of 20%. Medicare commissions were fueled by the combination of 62% growth in carrier-approved submissions and were offset by a decrease in absolute LTVs. Total revenue grew 33% during OEP to $271 million, including enterprise revenue of $61 million, up 102% in the quarter. As a reminder, our enterprise solution offerings are made up of marketing, enrollment and technology solutions for carriers. Clint will touch on it more in a minute, but we anticipate a higher percentage of our revenue will be from an expanded set of Encompass offerings going forward, which will be reflected in the Enterprise segment. Over time, this will provide better predictability, transparency and unit economics, while also driving more cash into the business. Slide 9 illustrates our key unit economics for the first quarter relative to last year. As mentioned earlier, strong submission growth was driven by both an increase in agents in the first quarter of this year relative to last year, combined with continued growth of our external channel. We continue to see strong demand during OEP as consumers continue to seek out our platform. Moving to revenue per submission. We saw a 5% decline in first quarter revenue per submission, and it includes commissions, enterprise revenue and Encompass revenue. As a reminder, we collect cash for Enterprise and Encompass services on an accelerated basis relative to commissions, and these accelerated collections continue to improve our payback period. Encompass is fast becoming a meaningful incremental revenue driver for us. Last year, the majority of Encompass revenue flowed through the commissions line item and impacted LTDs as the services are tied to the policy or submission. This year, we are expanding our offerings and services across a broader group of carriers that are directly tied to our members post-sale, meaning that some of these Encompass offerings will also impact our Enterprise revenue-wise. Finally, on the far right of the slide, you will see our cost per submission. These costs represent our fully loaded cost to enroll, inclusive of our cost of revenue, CC&E and our marketing and advertising expenses. We saw a slight uptick in cost per enrollment this quarter as a higher proportion of our enrollments came from our external channel, which has a higher cost structure, and we carried a higher agent count throughout the quarter. As a reminder, our external channel doesn't require the same cash usage due to our revenue split arrangements with our partners. I'll touch on it more in a minute, but we anticipate the cost per submission to decline over the second and third quarters as we focus on our current agent force rather than ramping new agents and as we optimize our marketing spend. Slide 10 walks through our revenue by channel and segment. You can see we've begun to expand our Enterprise revenue as we continue to form and expand our partnerships with carriers through our Encompass Platform. We are moving thoughtfully to lengthen our lead at commercializing our Encompass programs. We are encouraged by the carrier and partner response, and believe Encompass could help drive our next leg of growth over the coming years as we help partners improve the effectiveness of programs beyond enrollment, positively impacting our carrier partners' long-term profitability as we leverage our position in the value chain to deliver results. You'll hear more on this from Clint in a minute. On the segment side, can see here that we've maintained strong growth in Medicare revenue, driven by the expansion of both our internal and external channels. Slide 11 walks through the progress we delivered towards our full year investments and resulting EBITDA. Adjusted EBITDA of $11 million was consistent with our expectations as short-term profitability was impacted by our deliberate strategy to slow growth as we optimize unit economics. As Clint previously mentioned, this does not reflect the full impact of cost actions taken to date, and that benefit will be seen throughout the latter half of the year. Aggregate customer care and enrollment, including TeleCare and technology investments, were up $31 million in the first quarter. This was driven by us walking into the current year with materially more agents than in the prior period. As we continue to focus on profitability and cash flow, expect these comps in CC&E to come down as we slow down hiring this year relative to last year. Increased marketing and advertising spend helped us drive the strong top line growth in the quarter as we optimized across a broad marketing funnel. Combined cost of revenue and marketing and advertising grew 54%. Moving on to our 2022 outlook shown on Slide 12. We are reaffirming full year 2022 revenue of $900 million to $1.1 billion, and adjusted EBITDA of $110 million to $150 million. Regarding the seasonal cadence, I wanted to call out the following as we think about the upcoming SEP periods for Q2 and Q3 and the AEP period. As it relates to revenue, we anticipate combined revenue for Q2 and Q3 to be in line with the revenue achieved here in Q1. This will be driven by a slowdown in enrollments as we pull back here in Q2 and optimize our marketing spend and continue to focus on the quality of our agents and enrollments during the SEP period. We then expect to ramp up during AEP to achieve revenue levels slightly exceeding the fourth quarter of 2020. As it relates to adjusted EBITDA, we anticipate combined adjusted EBITDA levels ranging from negative $30 million to negative $40 million during SEP. This will be driven by the cost of carrying our current agent force, while we pull back on marketing and advertising, ultimately driving fewer enrollments. This will also allow us to focus on short- to medium-term cash flows as we continue to collect cash on our old vintages, while limiting the outgoing cash spend during the seasonally slow SEP period. As a reminder, last year, we incurred a large amount of CC&E costs in Q2 and Q3 as we ramped up prior to AEP. This year, as we focus on optimization and cash flows, we will incur lower agent ramp costs as we focus on optimizing and retaining our current agents ahead of this AEP. We then expect adjusted EBITDA margin percentage to return to the mid-30s similar to the fourth quarter of 2020 levels. We believe slowing down now in order to execute well in AEP is a good trade-off as the EBITDA upside in Q4 far outweighs the upside during Q2 and Q3 are historically slowest seasons. Moving down the P&L. The combined costs related to marketing and cost of revenue will be more heavily weighted towards cost of revenue as our marketing team drives fewer, higher-quality consumer volume. Marketing and advertising expenses should represent roughly $100 million less than last year's total advertising costs. Again, this shift also improves short- to medium-term cash flows. As we think about the remainder of the year, we won't need an increase in the number of qualified consumers or agents to hit our numbers. Instead, our focus on better optimizing our current marketing funnel and team of talented agents will drive our results. Moving on to cash flow. Slide 13 highlights our current capital and liquidity position. We collected a record $335 million of cash commissions during the quarter, an 83% increase in cash collections relative to Q1 of last year. Even with these record cash collections, we still have over $1.1 billion of accounts receivable on the balance sheet today. Strong cash collections, combined with our highly efficient funnel, led to positive operating cash flow of $54 million in the first quarter, a 75% increase in cash flows from last year. Clint will now walk you through some of the exciting updates to our Encompass Platform and why we are so encouraged about the future potential. Clint?
Clinton Jones: Thanks, Travis. Before we close, I'm excited to turn to Slide 15, which covers the future of our evolving Encompass Platform. Our Encompass Platform was launched in 2020 to serve the unique needs of our members post-enrollment, and quickly proved to be a powerful tool in connecting seniors to the care they needed the most. We're proud to announce that we are expanding our Encompass Platform to serve our carrier partners as a holistic enterprise solution. Historically, we provided outsourced marketing, enrollment and technology solutions to carriers as an enterprise capability. We've now expanded upon that capability to serve our carrier partner's most pressing needs, introducing 2 new modules: Encompass Connect and Encompass Engage. Encompass Connect is an enterprise solution designed to help carriers target the right consumers in the right geographies, then leverages proprietary data and technology to enroll those consumers in the best plans. Encompass Connect will be a strategic and competitive force multiplier for the carriers to adopt our platform. Our second module, Encompass Engage, expands on our legacy offering to help carriers elevate the sophistication with which they serve their members post enrollment. This system of engagement harnesses deep consumer insights to customize contact strategies for specific member segments, ultimately increasing engagement, retention and driving positive outcomes at scale. This offering will be essentially powerful connecting at-risk populations and underserved Americans with a critical health care they deserve. Early response to our expanded enterprise solutions has been incredibly positive, and we're actively discussing the adoption of these modules with several of our carrier partners. We expect these industry-leading offerings to improve member outcomes, strengthen the value we bring to carriers and drive more predictable and attractive economics within our revenue model. You can expect to hear more updates throughout the year on these new exciting services and tools. I'd now like to turn the call over to the operator for Q&A.
Operator: [Operator Instructions] We do have a question from [Brad Hill].
Unidentified Analyst: Yes. Regarding the efficiency notice, for being under $1. Are there any strategic plans to get that over $1? What would it be? And is there any talk about a reserve stock split to do it?
Clinton Jones: Yes, we are aware of the issue. Thanks, Brad, for the question. Obviously, as you know, there's variety of options at our disposal to maintain compliance with NASDAQ trading rules, and our Board is considering all those options.
Unidentified Analyst: Okay. Great. Just want to know where you go on in that because it could be an issue here pretty soon.
Operator: [Operator Instructions] And we have a question from Jonathan Yong.
Unidentified Analyst: This is Carl for Jonathan. And my question is just Encompass revenues are higher, they were leading to higher enterprise revs. I mean, I was just trying to see if you guys can discuss how much of a PMPM uplift GOCO gets from the Encompass on a policy basis? And also, I believe most of the investments on Encompass were from last year. Just kind of curious if there's -- how much investments you're putting to Encompass this year.
Clinton Jones: Yes. So the arrangements we have within our Encompass programs vary by different carrier. And as far as investment goes, we'll continue to invest in the platform as we bring out additional services and features for our carrier partners. We continue to have technology investments throughout the year as we expand those relationships.
Unidentified Analyst: Okay. And just a follow-up question. Just was kind of curious also on -- I know some of the peers are pulling back given their own situations. But carrier partners sounds like they're increasing their spend, at least with Humana. So they're pulling a lot into marketing and benefits. Just kind of curious, any thoughts on this aspect where they may be taking share, internal share, with your sales force?
Clinton Jones: Yes. So we're not seeing material changes with different spend in different channels. We are seeing kind of an overall pullback in the market, based on the channels we're in, but we cast pretty big wide net when it comes to the areas we target. And we are seeing kind of competitive pressures come down, but we'll kind of maintain kind of focused throughout the year on what all competitors are doing.
Operator: [Operator Instructions] And we don't have any more questions. I'll turn it back to the speakers for final comments.
Clinton Jones: Thank you all for attending today to hear our Q1 2022 results. We're looking forward to updating you further throughout the year on the progress to date. Thank you so much.
Operator: And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.